Operator: Welcome to the BGC Partners Inc. Third Quarter 202 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker for today, Jason Chryssicas, Head of Investor Relations. Thank you, and please go ahead.
Jason Chryssicas: Good morning, everyone. Today, we issued BGC's third quarter 2022 financial results press release and the presentation summarizing these results prior to market open. You can find these at ir.bgcpartners.com. Please note, you can find additional details on our quarterly results in today's press release and investor presentation. Unless otherwise stated, the results provided on today's call compare only the third quarter of 2022 with the prior year period, and to compare revenue excluding insurance, due to its sale on November 1, 2021. We will be referring to our results on this call only on an adjusted earnings basis unless otherwise stated. We may also refer to adjusted EBITDA. We may refer to our liquidity, which we define as cash and cash equivalents plus marketable securities that have not been financed, reverse repurchase agreements and securities owned, less securities loans and repurchase agreements. We define total capital as our redeemable partnership interest, total stock ops equity and non-controlling interest in subsidiaries. BGC generates a significant amount of its revenue in non-U.S. dollar denominated currencies, particularly in the euro and pound Sterling. BGC presents revenue comparisons on a constant currency basis in order to present a better comparison of the company's revenues during the period, which exhibited volatile foreign exchange moments. BGC's constant currency movements assume foreign exchange rates used in term of the company's prior period revenues applied to the current period revenues. Please see today's press release for results under generally accepted accounting principles or GAAP. Please also refer to the relevant sections at the back of today's press release for complete and updated definitions of any non-GAAP terms, reconciliations of these items to the corresponding GAAP results and how, when and why management uses such terms. Additional information with respect to our GAAP and non-GAAP results mentioned on today's call is available on our website at ir.bgcpartners.com and in our investor presentation. We refer to the company's technology-driven businesses as Fenics. Fenics offerings include Fenics Markets and Fenics Growth platforms. I also remind you that information regarding our business on today's call that are not historical are forward-looking statements. These include statements about the effects of COVID-19 pandemic on the company's business results, financial position, liquidity and outlook, and any forward-looking statements involve risks and uncertainties. Except as required by law, BGC undertakes no obligation to update any forward-looking statements. Any outlook and targets discussed on this call assume no material acquisitions, buybacks, extraordinary transactions or meaningful changes to the company's stock price. For a discussion of additional risks and uncertainties, which could cause actual results to differ from those contained in the forward-looking statements, see BGC's SEC filings, including, but not limited to, the risk factors and special note on forward-looking information set forth in these filings and any updates to such risk factors and special note on forward-looking information contained in the subsequent reports on Form 10-K, Form 10-Q or Form 8-K. With that, I'm now happy to turn the call over to Howard Lutnick, Chairman of the Board and CEO of BGC Partners.
Howard Lutnick: Thank you, Jason. Good morning, and thank you for joining us for our third quarter 2022 conference call. With me today are BDC's Chief Operating Officer, Sean Windeatt; and our Chief Financial Officer, Jason Hauf. Our pretax adjusted earnings margin expanded by over 300 basis points. This represents the eighth consecutive quarter of adjusted earnings margin improvement driven by our high margin electronic Fenics business, which now represents of our quarter of our total revenue. For more than 14 years, BGC and the entire financial service industry's trading volumes have been constrained by ultra-low interest rates and quantitative easing. For example, in the U.S. credit markets, issuance is up over 2.5 times and trading volumes are half of what they were in 2008. Over the same period, U.S. Treasury issuance is up 5 times and trading volumes are flat to 2008. And you can see this on Page 5 of our investor presentation, which you can get to at ir.bgcpartners.com. Throughout this period, we've worked to automate our business and improve our margins. We expect the return of interest rates to restore trading volumes to their historical correlation with issuance over time. This dramatic increase in trading volumes will drive our revenue growth for the foreseeable future, coupled with our improved margins, we expect BGC to produce record levels of profitability. With that, I'd like to turn the call over to Jason.
Jason Hauf: Thank you, Howard, and hello, everyone. BGC generated total revenue of $416.6 million, a decline of 1.3% as compared to last year. On a constant currency basis, our revenue was up 4.1% versus a year ago. During the quarter, the U.S. dollar continued to appreciate against the euro and pound Sterling, both of which were approximately 15% lower. Total revenue would have been $23 million higher on a constant currency basis. By asset class, rates increased by 1.1% and 10.2% on a constant currency basis. FX increased by 0.7% and 2.4% in constant currency. Credit decreased by 1.3%, but increased by 6.4% in constant currency. Energy & Commodities decreased by 7.2% and 5.5% in constant currency and Equities decreased by 11.6%, but only 5.1% in constant currencies. By geography and excluding insurance, Americas revenue increased by 9.3%, while Europe, Middle East and Africa and Asia-Pacific revenues decreased by 5.4% and 8.5%, primarily related to FX headwinds. Fenics, BGC's higher margin technology driven business represented 25.4% of total revenue, its highest mark ever and grew at a market leading rate of 10.8% to $105.6 million or 17.7% growth on a constant currency basis. Automation has been a key to driving the company's margins higher. Adjusted earnings margins and average front office productivity both improved year-over-year for the 8th consecutive quarter. Fenics Growth platforms recorded revenue of $12.7 million, an improvement of 19.4%, or 21.5% on a constant currency basis. Our Fenics Markets business generated revenue of $92.9 million, an increase of 9.7% or 17.2% on a constant currency basis and had a pretax adjusted earnings margin of 30.8%, an expansion of 107 basis points. Moving on to expenses. Our compensation and employee benefits under both GAAP and adjusted earnings decreased by 21.4% and 20.6%, respectively, due to increased automation the sale of our insurance brokerage business and the positive FX impact on the company's U.K. and European expenses. Our adjusted earnings compensation as a percentage of total revenue was 48%, which was over 500 basis points lower versus a year ago. Our non-compensation expenses under GAAP and adjusted earnings decreased by 11.3% and 8.8%, respectively, driven by lower occupancy and equipment expense due to the sale of our insurance brokerage business as well as lower commissions and floor brokerage, communication, interest and other expenses. These expense reductions were partially offset by higher selling and promotion charges as COVID-19 restrictions have relaxed across many of the major geographies in which we operate. Moving on to our adjusted earnings. Our pretax adjusted -- our pretax income was $82.8 million with 318 basis point margin expansion to 19.9%. We recorded post-tax adjusted earnings of $77.5 million and generated third quarter adjusted EBITDA of $107 million. Turning to share count. Our weighted average share count decreased 2% sequentially and 6.3% year-over-year to 497 million shares. Our fully diluted spot share count, as of September 30, decreased by 6 million shares, or 1.2% sequentially to 494.7 million shares, reflecting 12.6 million share unit repurchase in the quarter. Compared to a year ago, BGC's fully diluted spot share count has decreased by 22.5 million shares or 4.3%. As of September 30, our liquidity was $510.8 million compared with $594.8 million as of year-end 2021. The change in our liquidity reflects payments for share and unit repurchases and redemptions, dividends and distributions and new hires. Cash and cash equivalents were $473.3 million as of September 30 versus $553.6 million as of December 31, 2021. Notes payable and other borrowings were $1,050.1 million compared with $1,052.8 million at year-end. Total capital was $727.3 million compared with $682.1 million as of year-end 2021. The Joint Committee of our independent directors of the Board has agreed to pursue and move forward with the conversion to a full C corporation. The conversion would occur pursuant to definitive agreements, which the company expects to execute prior to the end of this year. The conversion to a simpler, more transparent corporate structure aims to improve operational efficiencies and provide investors with an easier-to-understand organizational structure. Following execution of the agreement and prior to the closing of the corporate conversion, details related to the conversion will be publicly filed with the SEC and distributed to BGC stockholders. We continue to work through identifying operational synergies, which we expect to significantly offset the increase in our corporate tax rate. We expect to provide this detail update prior to the end of the year. With that, I'm happy to turn the call over to Sean.
Sean Windeatt: Thanks, Jason, and good day, everyone. Fenics, our technology driven higher margin business, generated record third quarter revenue of $105.6 million, growing at a market leading pace of 10.8% or 17.7% on a constant currency basis. Fenics represented 25.4% of our overall revenue and is expected to become an ever larger part of BGC's overall business going forward. Looking at Fenics in more detail. Our Fenics Growth Platforms revenue improved 19.4% or 21.5% on a constant currency basis, driven by growth across Fenics U.S. Treasuries, Lucera, Fenics FX, Fenics GO and Portfolio Match, partially offset by Compression and Algomi. Fenics U.S. Treasuries revenues increased over 24% driven by ADV growth of 14%. CLOB market share was 18% during the quarter. Fenics UST saw a significant growth in its streaming offering, which reached record levels in the third quarter, streaming a significantly higher fee capture. Fenics UST's T-Bill offering continued to scale with ADV growth of 266% compared to a year ago. Fenics UST recently launched its automated off-the-run spread facility. This technology enhances trading volumes, Fenics Market Data and will create trading synergies across FMX Interest Rate futures. Lucera, our infrastructure and software business had a record quarter, generating strong double-digit revenue growth of 30% versus last year. Lucera saw an increase in clients trading both cryptocurrencies and fixed income products through its LUMEMarkets platform. Additionally, in the third quarter, Lucera launched a cryptocurrency hosting offering for exchanges and traders. Fenics FX, an ultra-low latency electronic FX trading platform, generated volume growth of 44%. Fenics FX continues to win market share, onboard leading market participants, and has grown at market-leading levels throughout 2022. Fenics GO, a global options electronic trading platform, saw strong volume growth across its Asian business, where HSCEI, KOSPI and MSCI index option volumes were up 4.7x times versus a year ago. Additionally, Fenics GO saw volume growth of over 120% across its EURO STOXX 50 Index options offering. Portfolio Match, our credit matching platform, continued to scale during the quarter. Nearly 70% of total Portfolio Match volumes were executed by algorithmic trading during the quarter. Portfolio Match supports U.S. and European investment grade and high yield credit. The platform onboarded numerous new clients, and this momentum has carried forward into the fourth quarter, setting new records across volumes and trading participants. Looking at Fenics Markets, revenues improved by 9.7% or 17.2% on a constant currency basis, driven by FX, credit and market data. Fenics Market data signed 48 new contracts during the third quarter and grew revenue over 18% year-over-year. FMD continues to see strong demand for its interest rates, inflation and FX data packages. Fenics Direct, our web-delivered multi-dealer FX options platform, more than doubled its ADV in the quarter. Fenics MIDFX, a leading wholesale FX hedging platform, had its second highest quarter on record, surpassed only by the seasonally busier first quarter of 2022. Fenics MIDFX Asian NDF ADV improved by 63% and is fast becoming the preferred platform for Asian NDF hedging as clients seek the same highly efficient, risk-neutral qualities the platform offers for spot FX. FMX, which combines Fenics U.S. treasury business with our state-of-the-art U.S. interest rate futures platform, continues to make significant progress. With required regulatory approvals now expected in the first quarter of 2023, FMX is targeting its launch in the second quarter. We will announce the names of the strategic investors prior to the launch. FMX will offer an alternative U.S. rates futures platform for U.S. Treasury, Eurodollar and SOFR future products. Our Voice/Hybrid business generated revenues of $311 million, down 4.9% or up 0.1% on a constant currency basis. The overall macro trading environment improved during the quarter. This improvement continued to be uneven across products and geographies. For instance, we saw significant revenue growth in areas such as European government bonds, interest rate options, credit derivatives, corporate bonds and G10 spot foreign exchange. These gains were offset by challenging market conditions in areas such as oil, U.K. and European power and European and Asian equity derivatives. Additionally, the company saw strong performance during the quarter from potent charter shipping and consultancy business. BGC is the market leader in global LNG shipping and charter which has seen significant demand and pricing driven by geopolitical conflicts and energy disruptions across Europe. Going into 2023, we expect broad based growth across the majority of our products and asset classes. The current macro environment of rapidly rising interest rates and divergent central banks and monetary policy has led to very high levels of volatility. This has caused some market participants to transact less. As this extreme volatility dissipates, we expect higher levels of trading activity beginning in 2023 and growing from there. Now turning to our fourth quarter 2022 outlook. BGC's revenues were approximately 7% lower or flat on a constant currency basis for the first 21 trading days of the fourth quarter when compared to the same period last year, excluding insurance. Therefore, we expect to generate total revenue of between $390 million and $440 million as compared to $441.7 million last year, which excludes $19.9 million of insurance revenue. Revenue guidance would be approximately $20 million higher on a constant currency basis. We anticipate pretax adjusted earnings to be in the range of $71 million to $91 million versus $86.5 million, and we anticipate our full year 2022 adjusted earnings tax rate to be in the range of 7% to 9% versus 6.4% for the full year 2021. And with that, operator, we'd like to open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question for today comes from Gautam Sawant from Credit Suisse. Your line is now open. Please go ahead.
Gautam Sawant: Hey. Good morning, and thank you for taking my questions. Can you please share your perspective on what gets you comfortable with the updated time lines for FMX? And can you give us the nature of the types of regulatory approvals that might still be pending? And if there's any factors that could push out the time line further from this point?
Howard Lutnick: So we are awaiting approval for our new products. The exchange that we -- that was operated was primarily during weather futures for the past number of years. And now that we are converting upon BGC's acquisition to interest rate futures required an application to get that approved. So that is what we are waiting on. And we expect that in large part -- our expectation is, and we are confident that, that will be received in the first quarter. I mean, look, this process just takes more time than it used to take. I think you all understand that the way things are working in the world these days, just take more time. But we have that expectation, and we don't have any reason to believe that it would last to be pushed further out than the first quarter of '23.
Gautam Sawant: And then when you're going to announce the partners, how should we think about the time line about the partner launch? Does that come after the regulatory approval and then before the 2Q '23 platform launch?
Howard Lutnick: I think that's a discussion with the partners, but we would expect it, for sure, before launch, and it may coincide with the regulatory approvals in our launch date opening. My thinking would be you want to create the most excitement when you have an opening day. To announce that Ryan and George Clooney attending the opening of your restaurant, which you have no idea when it's going to open. It's just not as much fun as when you say we're going to open X date. So I think we're going to have great partners. That's our expectation, and we want to announce them when we have our opening dates, so people can get excited about meeting that data as opposed to just generally, we're opening someday.
Gautam Sawant: Okay. Understood. I wanted to stay on the FMX topic. The CLOB market share for the USD platform, it's declined to 18% relative to 19% in the last quarter and in the same quarter of 2021. Are there any factors that are impacting the market share right now?
Howard Lutnick: So these were -- this was really the first period that our BrokerTech picked up a little market share. And that stems back from the extreme volatility that was in the marketplace. When -- I've been in this business a long time and when we were operating long, long ago, the busier the market, the stronger the leader is in extreme volatility. So this is an example of this extreme volatility, our growth -- while we continue to grow in volume, market share went to the larger player. But that's just during this extreme volatility. I think as that dissipates, the extremes dissipate, I think you'll see our growth continue. And as obviously, as we announced, the partners they join, we think we will see a material improvement in our market share thereafter.
Gautam Sawant: Okay. And just last question for me here on time lines. Can you provide us an update on your digital asset or cryptocurrency initiatives? And if the time line for those platforms has changed?
Howard Lutnick: Sure. So in Lucera, we are connecting market participants to exchanges. We are also hosting exchanges as well. Our team that builds exchanges, obviously, is very, very focused on FMX making every I-dot and T-Cross to make sure our system is as good as it possibly can be and covers as many idiosyncratic nuances that futures traders want to use in their system. So we are focused on that. And once FMX is launched, we will turn our attention to building the exchange for crypto. The timing for an exchange from crypto, we are trying to meet is when the large traditional finance banks and trading firms decide to get into that space. So we are connected to all the banks and all the trading firms in the world, and we want to go into that business when our key clients around the world are starting to trade crypto. They think about it, they have the right to do it. There's a little bit of announcements you've seen every here and there. Now there's a few firms willing to custody it. This is all beginning. So we're trying to meet that timing. So I think we are not racing towards it. I think we are doing FMX first and then crypto and digital will be second. But I think what the key for us is we're trying to time it to be ready, open and available and rocking when the large banks of the world decide that they're going to start trading. And that's sort of our special sauce, if you will.
Gautam Sawant: Got it. Thank you for taking my questions.
Howard Lutnick: Yes. If you think about it in big banks, where they rather trade on FMX and BGC in the place where they are comfortable or would they ran a trade with by names. I just think we seem pretty -- the right choice.
Operator: Thank you. [Operator Instructions] Okay. We currently don't have any further questions. So I'll hand back to Howard Lutnick for any further remarks.
Howard Lutnick: Like our margins improving, we're getting more efficiency on our conference call. So thanks for spending the half hour with us, and we look forward to seeing you again and updating you on the corporate conversion, updating you on FMX, and we look forward to speaking over the quarter. Thanks, everybody.
Operator: Thank you for joining today's call. You may now disconnect.